Operator: Good day, and welcome to the CRH plc May Interim Management Statement Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Albert Manifold, Chief Executive. Please go ahead, sir.
Albert Jude Manifold: Good morning, everybody. Albert Manifold, CRH Group Chief Executive here. You're very welcome to this conference call this morning, which accompanies CRH's interim management statement issued in advance of our annual general meeting later today. With me on the call is Maeve Carton, our Finance Director. And following some short introductory remarks, Maeve and I will be available to take any questions that you may have on the statement. We have about 45 minutes scheduled for the call, and so I propose that we aim to conclude at before 9:00. Our IMS statement this morning provides details of exploiting [ph] condition state for the first 4 months of the year. Encouragingly, in Europe, the improving trend evident in the second half of last year continued into 2014, and overall like-for-like sales to the end of April are up 10% compared with a weather-impacted 2013. This includes an 8% increase in our materials operations, driven by cement volume growth in our key markets. Our Products business, which have benefited from mild weather conditions and strong U.K. private housing demand, saw like-for-like sales increase by 16%. The corresponding increase of 8% in our Distribution businesses reflected the generally improving trends across our core markets of the Netherlands, Belgium, Germany and, indeed, Switzerland. In the United States, the overall economic and construction demand backdrop remains positive. However, for the second year running, very harsh early-season weather impacted activity. Despite this, overall like-for-like sales for the first 4 months are up 2%. And this comprises a 4% increase in our Materials segment, where despite mix fees and like-for-like volume trends, in the West, we saw that went ahead by 10%. Indeed, they were slightly behind by 2%. We still achieved price increases in both aggregates and in readymixed concretes. Our Products businesses saw a 3% increase in like-for-like sales, driven by stronger housing activity and improving nonresidential sector, in particular, for our BuildingEnvelope business. In our Distribution segment, poor weather and the absence of hurricane repair work in the Northeast region resulted in tough comparators and lower sales for our exterior businesses. This outweighed the gains seen in our interior business. And so like-for-like sales overall for the U.S. Distribution segment were down 2% on the equivalent period in 2013. We continue to progress across action initiatives and are on track to deliver our incremental savings of EUR 100 million in 2014, which will bring our cumulative savings since 2007 to EUR 2.5 billion by the end of 2014. On the development front, we have, to date, completed 7 small acquisitions at a cost of approximately EUR 60 million. So taking into consideration the trading divisions that we've seen year-to-date and also our expectation for improved trading in May and June, we expect first half group EBITDA to be approximately EUR 500 million, EUR 100 million or 26% ahead of 2013 for this seasonally less significant half of the year. On our portfolio review, you'll recall that in February, with our results, we announced that having completed the initial phase of our portfolio review, we had identified approximately 10% of our net assets accounting for about 3% of 2013 EBITDA would not meet the group's financial objectives. An orderly process to divest these noncore businesses is underway. Our ongoing review has now determined that approximately 80% of the group's net assets, which contributed about 90% of the 2013 EBITDA, are businesses which meet the group's strategic and financial criteria. An assessment of the remaining 10% of net assets remains ongoing, and we expect to complete this exercise in the third quarter of 2014. And so to our outlook for 2014. Well, after an encouraging start in Europe, while we continue to expect second half performance to be ahead of last year, we believe that the strong year-to-date rate of organic growth is likely to moderate. In the United States, we continue to expect an improvement of housing and, indeed, nonresidential construction in 2014, with infrastructure activity likely to remain stable. Although the mild weather conditions in the corresponding of 2013 make comparators more demanding, we still expect progress in the Americas overall in the second half of 2014. For the group as a whole, with the benefit of contributions from acquisitions and cost savings and assuming no major market dislocations, we expect second half EBITDA to be somewhat ahead of the same period of last year when, with the benefit of favorable weather patterns, we reported EBITDA of EUR 1.08 billion. And with that, Maeve and I will take your questions. In framing your questions, please be aware it is still very early in the season. And with weather-related effects and the impact of recent economic trends in Europe still to be fully worked through, many of our responses are going to be more directional than quantitative at this stage of the year. [Operator Instructions] And now I'm going to hand you back to the moderator to coordinate the Q&A session of our call.
Operator: [Operator Instructions] We shall take our first question from Barry Dixon from Davy.
Barry Dixon: Yes, Barry Dixon from Davy. A couple of questions, Albert, please. Firstly, just in terms of -- and again, taking in mind your last comments there, you might just try and give us some sense of the underlying trends in Europe across the 3 divisions and in particular, I suppose trying to maybe strip out that weather effect in the first 4 months. Is there any sort of sense that the performance in Europe is improving exactly what appeared to be like that from the statement? And you might focus a little bit particularly in terms of Holland because in -- I think in the February statement, you had said that you expect that market to be subdued for the year and maybe your thoughts around that. A related question, and I suppose, given that sort of a very sort of strong 10% growth in like-for-like volumes in Europe or revenues in the first 4 months, how are you seeing that drop through in terms of operating profit? Are you actually seeing there the benefits now of the cost takeout program? Because I think this is probably the first time you've seen a material improvement in like-for-like in Europe in some time. And then final question just on U.S. infrastructure. Your comment there around infrastructure, the outlook being stable for the year in terms of top line. You might just give us your thoughts in terms of margins or the other prospects for margins on the infrastructure side in the U.S. particularly given the dynamics around bitumen pricing, et cetera.
Albert Jude Manifold: Okay. Thank you, Barry, and good morning. You had 3 questions there. Maybe I'll take the 2 questions with regard to Europe and maybe leave the third part of the question to Maeve to talk about the infrastructure and the margins. Just the underlying trends in Europe, yes, obviously, the -- with the good weather there, we can see it coming through and given good delivery there. But there's no question there's a better sense about Europe now. What we saw in the last quarter of last year coming through, I suppose the 2 strong markets for us in terms of sentiments are Germany and the U.K. Poland has been strong as well. Switzerland, we've had good volumes coming through in Switzerland. Within the Netherlands, your specific question, it is -- there certainly is a slightly better feel about logo [ph] . I wouldn't run away with ourselves. We've had a good start. And the overall broader consumer confidence level in The Netherlands are better, and there's certainly a better feel about the place. It is still early season. So while I think we may be slightly neutral, slightly up rather than stable for this year overall in The Netherlands. So I'd say the main countries up, Germany, U.K., Poland, Switzerland in particular, but it is early stages of a recovery. With regards to the increase in top line and the drop-through to the bottom line, yes, we've seen good delivery on the top line, and you're absolutely right. I think a lot of the hard work we've done over the last number of years is starting to come to fruition now. This is the early start to the season. We don't have a lot of volumes going through our plants. This is probably the most inefficient time to run our plants, but we're still seeing good leverage coming through, probably close to about 20% in our European operations, which is good to see at this early stage of the year. Maybe I might pass the U.S. infrastructure question and margins over to Maeve.
Maeve C. Carton: Thanks, Albert. In relation to the infrastructure volumes and activity, you've seen the -- that in -- for -- I think it's in asphalt year-to-date, our volumes are broadly in line with last year. So the 2 periods, the 2 first 4 months of the year being disrupted by weather activity, so no major net impact year-on-year. Coming into the year, we've been very focused on improving our margins, and that's a big priority for us in 2014. We've seen some modest improvement so far this year, but it's very early in the season yet. And so you'll have seen from the statement that we've seen average selling prices slightly ahead on aggregates and readymixed. Slightly lower in asphalt because as you know, that's primarily because of the input -- it's a function of input cost increases. So with lower bitumen costs, our selling prices are slightly behind last year, but overall, our margins are actually showing a little bit of an improvement.
Operator: We shall take our next question from Paul Roger from Exane BNP Paribas.
Paul Roger: Albert, Maeve, just 3 questions, please. Firstly, on Europe, obviously, you've talked about volumes. I wonder if you can say a bit more about the pricing outlook for both materials and products. Secondly, in the Americas, is it possible to give us a sense of how strong you exited the first couple of the months? So basically, can you give us like-for-like trends by month in the Americas? And then thirdly, on strategy, does the Lafarge-Holcim potential merger have any impact on your thinking of CRH more generally?
Albert Jude Manifold: Okay. Good morning, Paul. I think and maybe I'll take Europe, and I'll hand Maeve the question on the United States, and I'll come back and talk about strategy at the end. With regard to Europe, yes, actually we have seen some positive price movements on pricing this year. And it's modest enough. It's just a couple of percent or so just to take us on the cost inflation we saw at the back end of last year, but it's good to see coming forward. And as what we said, on back of a better volume outlook, we will see some pricing coming ahead. We've seen some already start this year, and I think that we will see it in some of our markets later on this year. So I think there's some good hope and some good momentum there with regards to pricing this year. With regards to the Americas, Maeve, in terms of...
Maeve C. Carton: Yes, good morning, Roger -- or Paul. The like-for-like trends, the first couple of months, the first 2 -- month or 2 in the U.S. were impacted by the weather. So the overall effect is -- was more severe in the first couple of months but beginning to improve a little bit as the course of winter.
Albert Jude Manifold: Yes, I think we've clawed back anything we lost in the first of January, February in our Materials business. We have clawed back during the month of April, so we're pretty much in line or slightly ahead at the end of April, Paul. Our Products business, I'll leave it behind due to the weather but just now getting into a really busy season for them, tail end of April, start of May. So on our Distribution businesses, again, if you're looking at a strong comparative last year with the first quarter last year, we had Hurricane Sandy particularly for the Northeast. But again, these are sort of minor regional tweaks. The Materials business is ahead. Products and Distribution, ever so slightly behind, but that really is at the end of April. Just returning back to the last point you make on the Lafarge-Holcim deal, look, obviously, that's an issue for Lafarge and Holcim to work their head -- their way through on that. From our own point of view, we've set our stall out. We are -- we're focused on recovering our returns and margins and bringing them back to peak during the course of this particular cycle. Like anything else, we remain aware and open to opportunities in our industry, provided there's value and provided there's returns for CRH. We have our own thought process. We have our own plan, and what others do is what they will do. From our point of view, we clearly understand where we're going and where we're focusing on, position model as delivered for years, doing different type of deals rather than big blowout deals. But we've never been afraid to shy away from that. We get the value that's there from whatever quarter it may come.
Paul Roger: Okay, I'll stay clean [ph] . So can I just have one quick follow-up on your first answer about European pricing. There's the more positive sort of outlook also referred to Poland on the Materials side and the European Products businesses generally.
Albert Jude Manifold: Yes, it does in Poland. I think there's a better feel about volumes in Poland this year. You've seen it come through. You've seen the comments by Cemex and Lafarge in terms of where the volumes are coming through for Poland this year, and there's the objective what the extent the [indiscernible] is. There's a better feel about infrastructure work, and there's some more residential work taking place. On the back of that, in Poland, we really haven't been able to push prices ahead for the last 3 or 4 years, so we have -- the market owes us some. So I will be hopeful that during the course of this year, we'll see some price expansion also in Poland. With regard to our Products business, our Products business is being patchy. It's been strong in Northern Germany. It's been satisfactory in The Netherlands. It's been good in Denmark. It's been okay in Belgium. It's been poor in France. Against that backdrop, I think what -- in the previous call, I answered -- the previous answer I was saying that we made a lot of good -- did a lot of good work on the way down in terms of restructuring and reorganizing ourselves. Our costs are significantly lower than they were 3 or 4 years ago, and that whole sector, we're a little bit better organized. You've probably seen the benefit of that, which is adding on some pricing. I'd like to see how the year goes. Better pricing in Germany, but that was basically mainly the result of better organization and lower cost base.
Operator: We shall take our next question from Gregor Kuglitsch from UBS.
Gregor Kuglitsch: A couple of questions. One is just on the strategic review. You've obviously moved, I think, 10% of the assets from the sort of under review bucket into the "will keep" or sort of part of the ongoing structure. Can you just maybe give us a little bit of color which assets those are to the extent that you can and what -- whether you 2 conclude that these are businesses that you want to keep for the long term? The second question, maybe looking to push you a little bit harder on the exit rates. Maybe you can give us a group, maybe for Europe and the U.S., sort of exit rate in April? Obviously, there's a little bit of problem around the Easter, but it's still be useful to sort of get a better sense what the underlying growth rates are in your 2 major geographies?
Albert Jude Manifold: Okay. With regards to the strategic review, we are -- we're still working through our process of the whole review of our business. And we still have assessment of 10%, where I think we gave you a strong indication when we spoke in February that of the divisions we saw, they were clustered around our very strong North American business across products, materials and, indeed, distribution for the reasons we set out then. Also, we were clearly identifying those products in the Western part of Europe that have a strong focus on repair, maintenance and improvements and also in the eastern part of Europe in terms of our heavyside businesses there because of not only that but also the ability to extend that down into some of the Downstream businesses. The extra 10% fall into those categories. What we will do is later in the year, Gregor, when we have finalized our process, we will set up a different, clearly -- what our sales and what our goal is and the timeframe in which we think the business will be sold as such. So rather than speculate on that now and go through it and do it piecemeal, I'd rather wait and get that all done and see the full picture. With regard to the growth rate in terms of where we see Europe exiting and the U.S. exiting, I suppose Europe is a little bit clearer in that we have very strong growth in January, February versus 2013 because the weather was just terrible last year. March started to slow, and April again, slow rate of growth in April versus last year, but that's because we started to see a more normal weather patterns in Europe in April of last year. So still ahead in April of, I think, 2014 over 2013 but not by the extent that it was there in January and February. I think we're now starting to see the true rates of change in 2014 over 2013. And that's in Europe. In the United States, actually, again, we had really tough weather in the first 4 months of last year. But we saw a little bit of -- and again, really tough weather in the first 3 months of this year. Even up in the Northeast, I was there last week myself up in the Northeast. I mean, it was 40 degrees, and the rain was coming inside. It was a really pretty awful weather. Yet in saying that, we've had a better performance out West, which has helped buoy the overall volume, too, as we really have or what hasn't really started yet Southeast. So it -- I would say to you, out West, the growth rate of 10% is good, and that indicates the kind of growth that we're seeing out West. Back East, a little bit too early to say. It's more in its class in terms of bad weather in 2014 versus 2013. But again, we think now as we get into May and June, the high volume of commitment that we've seen the true rate of growth.
Operator: We shall take our next question from Robert Muir from Berenberg.
Robert Muir: Yes, 2 questions on the U.S. The first is on nonresidential side of things. Could you -- you said you expect sort of an improvement in the nonresidential. I wonder if you could give us a little bit of color around what elements are growing. Is it commercial? Is it retail? Is it office around that BuildingEnvelope business? And then just on your thoughts on what might happen after MAP-21, do you think we'll go back to sort of more short-term approvals for federal budgets? Or do you think we'll have another longer-term solution? Is there any update there?
Albert Jude Manifold: Thanks. I'd take the first part of that question with regard to nonres, and Maeve will pick up on the funding issue with regard to U.S. infrastructure. With regards to the nonres, I think it's -- in all areas, I think it's particularly strong in the areas of schools, hospitals, more or less in the federally-funded, state-funded infrastructure, commercial-type work, which I think is quite -- that's where we're seeing a lot of strength. And the commercial is quite strong. As economic activity grows, as you know, nonresidential is quite strongly in correlation with the economic growth of the United States. That's the 2 areas that we pick out. A lot of utility work going on out West in terms of underground transportation of water, electricity, telecommunications. That kind of work is what's driving that with the nonresidential work, and good commercial activity pretty much across the South and out West, again. That's, I'd say, the 2 strongest points so far as what we're seeing. But I think we'd see a progress in all nonres markets generally across this year when the season evolves. Maeve, on MAT-21?
Maeve C. Carton: On MAP-21, the -- for -- our expectation is for this year that the fact that the program is expiring in September should not have any effect on the 2014 outlook and activity. At the moment, in the absence of any specific actions to replace MAP-21, it looks like we might be into a program of more short-term replacements. But it's very hard to call at this stage. The only thing we can say is looking back over the history when there wasn't a plan in place, the overall level of funding remained in place even if there was a short-term extension. So...
Robert Muir: That's good. Can you just follow up on the commercial? Is that allocated -- are you seeing a kind of step change in activity in the more sort of traditional elements you mentioned, the sort of retail and the office-type stuff? I mean, obviously, you see economic position improves. You expect that. But is that something you're saying is different and you expect to be different this year?
Albert Jude Manifold: No, I wouldn't call this a step change, I think it's progressive change that we saw coming through toward the back end last quarter of last year. We saw from our order books that we talk to our customers, and it's coming through. It's slower progressing, I wouldn't call it a step change, but it would be up this year in non-res in the U.S.
Operator: We shall take our next question from Yuri Serov from Morgan Stanley.
Yuri Serov: I have a number of questions, please, and this is Yuri Serov from Morgan Stanley. Acquisitions, EUR 60 million only up year-to-date. That feels a bit low. Could you just discuss that, please, why that is? Is this because of lack of deals or any other considerations? Secondly, Ukraine, you're saying that so far, you have not seen an impact on your business. But you are seeing some forward-looking signs clearly or the people on the ground are seeing some forward-looking signs in terms of the orders coming in, the availability of credit and such. What is your expectation? You're talking about uncertainty near term, next few months. How do you think the business will develop? And then more generally, your guidance for the second half of this year, you're talking that second half is going to be somewhat ahead of last year. The current consensus is implying a double-digit growth for CRH's EBITDA in the second half of last year. Are you being conservative? Does -- somewhat include double-digit growth possibly? I mean, CRH, from my memory, has beaten its own guidance on the last couple of years. So the conclusion may very well be that you are being conservative at this stage. Is that the right conclusion?
Albert Jude Manifold: Thanks, Yuri. Just 3 questions there. Maybe what I might do is I let -- pass the question on the acquisitions, the rate of spend over to Maeve, also with regard to the -- our call at the second half of the year in terms of our EBIT. And then I'll come back and deal with Ukraine myself at the end, which is obviously very uncertain.
Maeve C. Carton: Okay. Thanks, Albert. With relate -- in regard to our acquisitions, Yuri, the level of spend at the 7 transactions that we completed to date, which were primarily in our U.S. Products business, the rate simply reflects the transactions that have come to conclusion in those 4 months. There's no particular slowdown in activity there. It's notoriously difficult to plan the date of completion of acquisition transactions. And as you know, that's why we tend not to forecast the amounts of spend or the rate of closure. So there's no particular slowdown in our level of activity in terms of development. Our acquisition pipelines generally are good, and our development teams are busy. So there's no -- you shouldn't read anything into that. It's simply a matter of timing. With regard to the H2 guidance, we've obviously looked to the full year to do -- as we've said, at the very outset that it's still very early in the year. It's very hard for us to draw too many conclusions from the activity to date particularly because of significant weather impacts in the first 4 months of the year, as we've talked about. So we are confident that 2014 H2 will see an improvement on last year's EBITDA. Last year did have the benefit of some very benign weather patterns, with the weather being in our favor in the critical months, particularly in our U.S. Materials activities. But also, in Europe, the closeout to the year was very mild weather, which allowed us to finish the year very strongly in Europe. So there's a number of moving parts to it. It's early to call the detail, and we're happy with the comments we've made. So that's -- the EBITDA should be ahead.
Albert Jude Manifold: And, Yuri, just in relation to Ukraine, well, obviously, we all see the news flow coming from Ukraine. Our leaders from the ground from our people on the ground are talking to our customers and that people are there. I mean, it's obvious, the situation is very unclear and very uncertain. For the first 4 months, we are treading ahead of last year. It is at low levels. I think it is inevitable, given the state of uncertainty that there will be a slowdown in construction activity. Our businesses are based on the west of the country, and our main market is Kiev and the Western part of Ukraine, which relatively speaking, is calmer, and life goes on as normal. What it would have for me in terms of limiting -- as you mentioned that there, the limits on funding or restrictions on funding going forward have to have an impact on construction. The full impact of that, we don't fully understand yet, and we have to see how it plays out. Just to put a dimension on this, last year, our EBITDA in Ukraine was about EUR 24 million, and we're trading ahead of that year-to-date. We have to see where the year goes to see exactly what the final of this is going to be for this year. So I can give you no more clarity than that, I'm sorry.
Yuri Serov: Okay. May I just very quickly ask a very technical question, please. I wonder whether you can ask a completely different topic. So on your proposed disposals or project -- likely disposals, right, you said that you have 10% of net assets identified first back at the full year results, and then you have another 10% under consideration now. And you said that the first 10% equal to 3% of EBITDA, and the second 10%, 7% of EBITDA. I understand that within those assets are there are also associates. Could you tell us how much of the associate income those 2 buckets represent?
Maeve C. Carton: Yes. No, in the -- those EBITDA numbers obviously reflect the subsidiary. The associate numbers are not in the report -- the EBITDA associates is not reported into your H's [ph] EBITDA. And so the associates -- the equity-accounted businesses, which are reported at PAT level, I think the -- about 20% of the EBIT, the PAT of those associates as accounted for by the businesses to be disposed of.
Yuri Serov: 20% of the profit after tax of the associates is accounted for by the businesses to be...
Maeve C. Carton: [indiscernible] the level of uptick.
Yuri Serov: Is this the first 10% or both 10%s?
Maeve C. Carton: That is in the first 10%.
Thomas Klee: So the first 10% that you identified at the full year presentation includes associates, which account for 20% of the associates' income.
Maeve C. Carton: [indiscernible] , yes. Some -- so the -- within that total 10%.
Operator: We shall take our next question from Aynsley Lammin from Citi.
Aynsley Lammin: Just 3 quick ones. Firstly, wondered if you could just comment on Finland. Obviously, Cementbouw was down. Could you expect that to be the trend for the full year? And then secondly, on your cost savings, the incremental EUR 100 million this year, what's the split first half versus second half? And just lastly, I know early days, but wonder if you could just indicate kind of the early signs you've seen for interest for the assets that you've got up for sale and if you've been encouraged by any early indications there.
Albert Jude Manifold: Three questions there. I'll take them. On Finland, I think we indicated to you, on the early part of the year, we said that's just a macro situation in Finland that's moving slightly against us. And I think that the trend we're seeing, it will be a -- so far we're seeing, will be a trend for the full year. I don't think it's going to be a serious miss, but I think it's going to be down on last year. I think maybe perhaps the back end of this year, we'll start to see a little bit of an uptick as the Finnish economy -- as the government tries to stimulate the economy, particularly construction. They've done it before. They've done it again. They'll do it again. The Finnish economy, it's well financed, and it's not stressed in any way. It's more the competition more than anything else. So it will be down along the lines we talked about for the first quarter. With regard to the cost savings coming through, I would think that usually, we would see probably about close to or 1/3 of those 2 in the first half of the year, maybe 2/3 in the second half of the year because a lot of those cost savings are coming through on the whole process side of things in terms of the increased use of alternative fuels, in terms of increased procurement savings, things that as -- saw as are more important construction even starts now May, June, July coming into the second half of the year, we achieve more of those savings at that time. With regard to the disposals, we have started a number of processes. I've been encouraged, quite frankly, about the level of interest and appetite that's out there. As we all know, there's a very significant amount of money out there for businesses, for good businesses and businesses and particularly those that are overall terms in terms of recovery, I should say going forward. So we've been encouraged. We -- like anything else, we don't comment on acquisitions, and we're not going to comment on disposals, which are going to be paid by country. And yes, it's been encouraging in terms of what we've seen so far.
Aynsley Lammin: Yes, and just one follow-up there. Would it be reasonable to expect some divestments to come through in the second half of this year or would that be too early?
Albert Jude Manifold: I would like to see some divestments come through. Let's just see how the year comes through. We're working ahead on a number of projects, Aynsley. [indiscernible] , I don't really want to get pulled into what-if speculation about timing of these issues. First, it's about maximizing returns, and if I have -- we have to delay some of the sales to get better returns as profits are recovering, we'll do so. But we'll report an update to you of that in August with our interims.
Operator: We shall take our next question from Robert Eason from Goodbody.
Robert Eason: Just really one question remaining. Can you just go through your position on energy across the group in terms of cost increases that you're facing; on the bitumen side, what you've locked in your winter sale; and just general comments about energy costs?
Albert Jude Manifold: Generally, with regard to energy costs, we've seen a little bit of a mixed bag. Just with regard to bitumen, if I take that one first, which is obviously our most significant energy cost, bitumen costs are slightly down this year as we've -- Maeve's already referenced in our previous answer. And we expect it to be flat, slightly down, slightly up, depending as the year goes through. It's still very early in the season, but no significant change in that and obviously we'll add that selling prices for us will adjust accordingly for us. I mean, for us, it's all about the margin in that particular area. In U.S., we've seen diesel costs up a check [ph] , but we're covered for, so no major change there. Similar with gas being costs. Gas costs on both sides of the Atlantic, going the opposite ways, increasing from historic lows in the United States, decreasing in the United Kingdom and Europe. But overall, no major shift in our energy costs for coal, pet coke, gas, diesel gas. Remained -- or bitumen, relatively flat.
Operator: We'll take our next question from Tom Holmes from Investec. Tom Holmes - Investec Securities (UK), Research Division Just 2 for me if I could. I know most questions have been asked at this stage, but could you just give us an update on your emerging market exposure and how you're seeing trading in those markets at the moment? And also, just finally, could you give us an update on your interest and tax rate guidance for the rest of the year?
Albert Jude Manifold: I'll take the emerging markets question, and I'll pass this with regard to guidance on tax rate for full year to Maeve. With regard to India and China, obviously our 2 major markets in Asia and, indeed, our Eastern European markets. Just that I'd take the Asian ones first. I think the Indian markets, broadly speaking, their election is going on at the moment. I think we'd see good level of support for construction activity during the quarter of this year, and I think growth will continue on probably in the region of about 5% to 6% rather than I think historically sort of 7%, 8%. And then the key issue that we're seeing in our business and you'd see in all big cement businesses, indeed, construction businesses in India will be the impact that overall capacity also has on pricing. This is going to be a multiyear problem. It is regional, and it depends on how you handle that, in particular, if that's what's going to depress profitability and, indeed, returns for people. We're quite happy with our position there. We've diversified our business, but we have 2 main production units in Andhra Pradesh in the Southwest. Andhra Pradesh -- our main markets, are not only just in Andhra Pradesh, they're up the coast in terms of Orissa and all the way up to West Bengal. So we'll help [ph] sources in terms of what we do. We have the facility to do that because we're quite close to the water with one of our big production facilities in VIZAG in North Andhra Pradesh, which helps us transport our water. So overall, I think the Indian markets will have good growth of 5% to 6%. I think pricing, there's going to be a cap on pricing going forward for quite a number of years as the overall capacity is going to be worked out. In China, we're seeing -- again, China is very much a regional player. I think if you're on the Gulf Coast of China, that eastern coast from Fujian all the way down to Guangzhou, I think that's obviously a lot of overcapacity in the very difficult markets. I think Southwest China, this also has a lot of overcapacity in the very challenging markets. But we are in the Northwest. It's probably one the better parts of China in terms of oil pricing. Our pricing is held for the last 2 or 3 years and much to do with the market structure, if anything else up there. And our overall volumes have come back overall in the last 2 years by about 10% or 11%. Pricing has been held reasonably okay, and I'd expect the Chinese cement -- our part of Chinese cement market to increase actually this year by a couple of percent in terms of volumes pricing as a whole. So reasonably okay. China is going through quite a significant step change in terms of how it develops its country and how it invests. It was very supplied there. It's getting more responsible with regard to returns, and we see that very significantly come through a lot [ph] of how developers are conducting their business there, much more focused on profitability and returns, which is very welcome. So both businesses moving along at a slower pace than previous years. Pricing will be crucial in both markets and is tied into the overcapacity and indeed, the regional position with regard to both of those. With regard to Eastern Europe in terms of emerging market there, if I can call Poland emerging market -- as I said already, I think Poland volumes will be up this year, significantly up in the first quarter but a bit misleading given the weather impacts we saw in 2013. But I still think there's a fair clip about Poland this year, and there's good -- look in our order book is quite good. Infrastructure is strong. There's some work coming through in residential. So we'd see it ahead in the region of sort 5% to 6% and maybe a bit of top left [ph] . But we'd see how the year goes, and a bit of price on top of that. In Ukraine, very challenging and obviously -- or very uncertain, I should say, and challenging given the circumstances and situation there at the moment. And we'll have to wait to see how that emerges for us. Maeve, on the tax?
Maeve C. Carton: Yes, the interest expense for 2014 is probably going to be broadly similar to last year's number. Last year finished out at EUR 297 million. So we expect it to be somewhere in the region of EUR 300 million or so. And at the tax rate, I think we'll be expecting, with the improving backdrop in the U.S. but the tax rate would start to jump a little bit, so it's likely to be above the 20% mark for 2014. So maybe 21%, 22%, 26% and something like that, just depending on the split of sales for the year -- or split of activity for the year.
Operator: We shall take our next question from Will Jones from Redburn.
William Jones: I think 3 for me, please, if I could. First just on the first half profit guidance, the EUR 100 million or so advance. Could you just comment on to what extent that skewed to Europe versus the U.S.? Is it all Europe potentially? Second, in terms of the U.S. in Distribution, the minus 2%, is it possible to give the feel of how exteriors performed relative to interiors in numbers terms for that 4 months? And just more generally on the roofing market, can you just help us perhaps in terms of when that comparatives normalize. It's been quite a difficult 12 or 18 months to predict in that area. So any help there would be great. And then lastly, just around the paving contracting business in the U.S., obviously the main season is still to come, but can you just give us a feel for how the competition on the margin side of that might develop over the summer?
Albert Jude Manifold: Okay. There are 3 questions there, Will. Well, maybe I might just in terms of deal with the -- myself, the distribution questions and about paving and maybe let Maeve talk about the first half profit guidance both in Europe and the U.S. there.
Maeve C. Carton: Yes. Will, with the stronger, relatively stronger start in Europe, we would expect the -- of that EUR 100 million advance, a significant proportion of it would be Europe, I'll say. We would expect some improvement in the U.S. also.
Albert Jude Manifold: Just on -- related to your question on U.S. Distribution in terms of slip within exterior and interior products or roofing, which is are exterior cutting business, I think that's been a lesser performer in the first 4 months of this year. It's as much to do with weather as anything else. Our business is very much based in the Northeastern, and stretches across the Midwest, the weather is very -- indeed very poor. There's nothing fundamentally alarming. It's just the contractors have many [indiscernible] . In fact, actually, given the weather patterns we've seen in the first quarter, we would expect that to be good for our roofing business. Obviously, it'll necessitate more repairs to be done to roofs at that particular time. So we think that will come back. And our interior products business on the back of a strong and newbuilds, nonresidential start to the year, and it has been a good -- nonresidential start of the year has been strong. And that's been the one that has outperformed Distribution. I think Distribution would be balanced. I think the outcome this year for the Distribution business, the roofing business, will be fine. I think the -- at the early part of the year, I think given what -- if I talked to -- across the industry and talked to contractors over there, I thought people felt there would be a lot more upside with regard to pricing. I think the fact that the year has got off to the slow start made us retire that somewhat because it's just human nature as people got off to a slow start, they're -- they don't really get too much activity in the first 3 or 4 months. They get a lot of jobs in the -- in quarter 2 but not a significant shift in trend. We still think volumes and pricing will be ahead, and we should see an advance in our Distribution business, both in both sectors this year, both exterior and interior products. With regard to paving, obviously, you're absolutely right. It's very early season. And only in the South that we're actually starting to do a bit of paving work and out West and do a bit of paving work. Yes, but probably the best lead indicator we have is our backlogs, which are a pretty good read in terms of what our paving business is and would be going forward. Our backlogs are stronger and up in terms of volumes than last year, and the margin within those backlogs is also ahead of last year. So 2 positive trends at this stage and very low [ph] . But of course, it's early days, yes, and the backlogs tend to be short-term in nature. But good signs coming through in volumes and the margins within those backlogs.
William Jones: Great. And sorry, one just quick follow-up on Ukraine, please. I think you gave us the EBIT of the business last year, the full year results, Albert. But perhaps you give us the sales base of the Ukraine, please.
Albert Jude Manifold: Just when I -- EBITDA was -- I think we're saying EBIT was -- EBITDA, EUR 24 million, disposals in terms of overall EBIT. Would all of that -- the one where we have to just go back to the pages again. So I'll just back up if I...
Maeve C. Carton: Total sales, EUR 550 million.
William Jones: EUR 550 million. Great.
Maeve C. Carton: EUR 150 million.
Albert Jude Manifold: EUR 150 million.
Operator: We shall take our next question from Christen Hjorth from Numis.
Christen Hjorth: It's Christen Hjorth from Numis. Just a few quick questions. First of all, with the cost reduction program, now that you start to see some volumes -- volume increase and then -- and markets getting better, what degree, if any, do some of those costs go back into the business? And secondly, just in continental Europe and the stabilization of the construction sector, is that mostly residential-led or have you also seen some bigger projects being brought on-stream?
Albert Jude Manifold: I'm sorry, Christen, the line just kind of half-dropped there for the second part of your question. Could you just repeat that second question? I heard growth, but just repeat. Is that corporate?
Christen Hjorth: Sure. No, the second question with regard to European stabilization in the construction sector. Is this mostly residential-led or you're starting to see bigger projects also being brought on-stream?
Albert Jude Manifold: I see. Okay, thank you for that. Okay, with regards to the cost reduction program, you're right. As activity level comes back, some of the more -- some of the variable costs will start to come back into our business. It's nothing very significant. I think so far this year, we'll probably predict something like EUR 30 million or EUR 40 million of costs coming back in. Typically, we'll be to do with bringing back at -- more crews back into jobs as activity levels drop through the course of this year. But again, that will be offset obviously with the higher level of activity and the increased contribution. Those extra costs will be generated, and so I welcome reintroduction of costs if there can ever be such a thing. The situation with regard to Europe, with regards to the overall we're seeing coming through our larger-scale work, it's very patchy. I would say and caution everybody that we are seeing -- we are in the very early stages of a recovery in Europe. And we have tried to communicate to you through the statement that the comparators, the first quarter of last year were very weak. The situation in Europe has seemed to start of stabilize. We saw that coming through in the last quarter of last year, and we're seeing modest level of growth. We're not seeing a very significant uptick in volumes yet. So it's quite a weak recovery across a number of sectors in -- and it is patchy. So no major work we're starting yet. No big hockey stick recovery. It's slow and progressive [indiscernible] for a deep recession. But it -- and it seems to be moving in the right way. Okay, I'm just being conscious of our time here in terms of where we are, and we have an annual general meeting at 11 this morning here in Dublin. So if you don't mind, I'm just going to end the Q&A there. I'd like to thank you all for your questions this morning. As always, please do feel free to liaise with our Investor Relations if you have any other additional queries or questions. Meanwhile, Maeve and I look forward to talking to you again with our interim results announcement on Tuesday, the 19th of August. Thank you for your attention, and good morning.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.